Jonathan Paris: Good afternoon. Thank you for joining us today to review Definitive Healthcare's financial results. Joining me on the call today are Kevin Coop, Chief Executive Officer; and Casey Heller, Chief Financial Officer. During this call, we will make forward-looking statements, including, but not limited to, statements related to our market and future performance and growth opportunities, the benefits of our differentiated data and health care commercial intelligence solutions, our competitive position, customer behaviors and use of our solutions, customer growth, renewals and retention, our financial guidance, our planned investments and operational strategy, generating value for our customers and shareholders and the anticipated impacts of global macroeconomic conditions on our business, results and customers and on the health care industry generally. Any forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section and elsewhere in our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statement included in the earnings release that we have just posted to the Investor Relations portion of our website. We will discuss non-GAAP financial measures on this conference call. Please refer to the tables in our earnings release and investor presentation on the Investor Relations portion of our website for a reconciliation of these measures to their most directly comparable GAAP financial measure. With that, I'd like to turn the call over to Kevin. Kevin?
Kevin Coop: Thank you, Jonathan, and thanks to all of you for joining us this afternoon to review Definitive Healthcare's fourth quarter 2025 financial results. On today's call, I'll provide highlights from our fourth quarter performance, review the operational progress we've made in 2025 and outline our key strategic priorities for 2026. Let me begin by reviewing our financial results for the fourth quarter, which were at or above the high end of our guidance ranges on both the top and bottom line. Total revenue was $61.5 million, down 1% year-over-year. We outperformed our revenue expectations on both subscription and professional services revenues. Adjusted EBITDA was $18.1 million, representing a margin of 29%, which was $1.1 million above the high end of our guidance. Our continued strong profitability performance is a testament to the underlying power of our business model and our ongoing expense discipline. We continue to generate solid cash flow, delivering approximately $55 million of unlevered free cash flow for the trailing 12 months. Our financial performance for 2025 compares favorably to the initial guidance we provided to investors last February. Setting appropriate expectations and delivering consistent financial results with transparency was one of the promises I made to investors when I became CEO, and I'm pleased that we were able to meet that objective in 2025. I would now like to review our operational performance for the year, supported by the 4 strategic pillars of data differentiation, integrations, customer success and innovation that we laid out for investors at the beginning of 2025. Before going into more detail, I do want to emphasize that we have made strong meaningful progress in each area and can confidently report that as we enter 2026 with a much stronger foundation for the future. While we are seeing improvements in all areas of focus, the expected benefits from these improvements will take time to fully be realized and that improvement trajectory is reflected in the 2026 guidance that Casey will review later. Starting with data differentiation. We delivered an important milestone in the second half of the year with the release of our fall expansion pack, which included bringing online a new claims data source. As you know, the claims market underwent a significant data disruption over the past 12 to 18 months. And with these releases, we have now restored our claims data volumes to above historical levels. Continuing to expand and strengthen our data assets with new elements that are not easily sourced remains foundational to our strategy. For example, we recently strengthened our core reference and affiliation data for health care executives and health care providers by adding mobile phone data. Overall, I am pleased with the progress we made in remediating the claims data market disruption, expanding our core data assets with new elements, ensuring our focus remains on maintaining our data differentiation and quality and expanding the value of our data over the course of 2025. This will remain a foundational priority going forward into 2026 and beyond. Our second pillar focused on seamless integrations. A core part of our strategy is ensuring it is as simple as possible for customers to utilize our data sets, proprietary software and analytical capabilities. Being an open platform is a foundational tenet of our product strategy, and we have successfully deepened the number of our integrations in 2025, including Snowflake, Databricks and the recent introduction of an important HubSpot integration in Q4. We launched a new pilot program with physician data and Salesforce, which we expect to be generally available this quarter. And we've been focused on increasing the automation of our integrations, which has dramatically shortened the time to integrate by about 25% over the course of 2025. This improves customer satisfaction and gets our data into the hands of our customers faster. Ensuring ease of integration to our customers' systems of record and systems of insight effectively improves retention as we know that those customers that are integrated will renew at higher rates than those that are not integrated. We are already seeing examples of this in action, including an important win in Q4, a large nonprofit academic affiliated integrated health system operating multiple hospitals, outpatient clinics and specialty service lines selected our population intelligence platform to enable more targeted segmentation within the region and surrounding markets. They needed to drive patient volumes across key inpatient and outpatient service lines while capturing additional market share. A core pain point was the significant internal effort required for data mining, layering, modeling and assumption-based analysis, which limited their ability to align resources around broader growth and strategy initiatives. Our seamless approach to integration and our agnostic capabilities that enabled flexible access to their systems were critical to this win where we delivered clean, enriched and actionable data directly into their existing workflows, allowing them to hydrate records and uncover incremental patient leads more efficiently. Turning to our third pillar, customer success. I am pleased with the improvement we have made throughout the year to improve customer satisfaction, ease of use and value-added services that will increase the stickiness of our solutions. While we will always be looking to iterate and improve our processes, I am confident that the steps we took in 2025 have built a strong, durable and repeatable customer engagement process. Retention improvement is more than just a customer success effort, though. Product development, data quality and GTM execution all play a significant role. The realignment of our focus across all functional groups working in service to a shared goal of improving the customer journey, including how they are compensated, is making a difference. Importantly, we have seen retention rates improve year-over-year for each of the past 3 quarters, including with the larger cohort of renewals we have in the fourth quarter. The impact of our coordinated customer-facing effort can be seen where our newly integrated commercial teams collaborated on an early risk identification, which proved critical in converting what was forecasted as a churn risk into a successful multiyear renewal. This example shows how proactive focus on addressing customer concerns will deliver tailored solutions that restore confidence in service of retention, not individual objectives. The integrated team approach with sales, support and success working together with a shared goal of producing happy customers benefits both the customer and our own retention goals. These changes are complex and took the early part of the year to put into effect with the impact showing improvement in the second half of the year. Intuitively, the improved sales, onboarding, training and success process will begin to show up as those customers experience the benefits in time. Therefore, we expect that the improved trajectory that we can already see will continue to accelerate, especially as the impact begins to show up in the new business we are signing now and starts renewing later this year without the legacy impact of prior disruptions from the claims situation or past organizational miscues. Finally, we had a notably successful year delivering against our fourth pillar, innovation and our focus on digital engagement. This pillar has been focused on several distinct sub areas. The first is digital activations, which enables customers to combine our data with other digital assets to generate actionable customer engagement. Over the course of the year, we signed nearly 30 agencies and already have more than 1/3 of them actively generating bookings for Definitive Healthcare. As a reminder, there is a natural lag between signing up of an activation customer or partner and when they begin generating revenue. We had ambitious growth plans for our activation business in 2025, and I am pleased to report that we outperformed this target. We are also tracking excellent progress in building from the agency activation channel, and we expect our early successes in this channel will make it easier to directly sign customer activation programs in 2026. Second is partnerships where we are building a dedicated partnership team that will help customers seeking syndication rights and new distribution channels. One example of this type of partnership was launched last quarter with Bombora and their curated ecosystem audiences. This platform helps distribute off-the-shelf and fully customizable audiences for activation on a variety of platforms such as The Trade Desk, Yahoo! DSP, Reddit or data marketplaces like LiveRamp. It extends the reach of our specialized intelligence and addressable audiences to the customer bases of these platforms that need to access comprehensive views of the health care organizations and professionals across the entire ecosystem. In addition, we see AI as a core enabling technology for growth that DH can harness with several important incumbent advantages. First, our proprietary data is our powerful foundation. Definitive is a data company first. AI presents a way to retrieve, analyze and harness data. Our advantage is the proprietary data itself, much of which is not publicly available as well as within our data curation system and processes. An AI model is only as good as the data it ingests and our advantage is taking today's high-performing AI models and applying them to our domain-specific proprietary and differentiated data. Second, in addition to the proprietary nature of our data, the longitudinal aspect of our data from over 15 years of intensive accumulation cannot be recreated. This data is critical to a customer that needs to understand how the health care ecosystem and its affiliations have changed over time. Third, contextual expertise. In-depth domain expertise is required to effectively operate as a trusted partner in health care, and our customers rely on us for that expertise. Competing in health care is complex. To provide effective AI workflow and analytics, it is essential to have that deep understanding of the complex relationships among the health care providers and their corresponding use cases, which require years of expertise to develop. Contextual relevancy and accuracy is required by this industry. The importance is evidenced by the fact that 60% of our largest life sciences customers leverage our advanced analytics expertise in addition to our data and half of our top 20 customers across all verticals rely on contextual domain expertise and advanced analytical insights. Finally, embedded customer relationships. As we integrate Gen AI into our products, beginning with our flagship view platform next quarter, our deep relationships with approximately 2,300 customers provide integration points for rapid deployment. Because our pricing and packaging strategy is based on value, not seats, the increased capabilities unlocked with Gen AI will drive both new use cases and adoption of new offerings such as digital activation. Almost 50% of our customers already integrate our data directly into their systems of insight and record via CRM connectors, APIs or lake-to-lake and our next-gen SaaS platform will offer another accelerant to our integrated strategic focus area, which we know drives increased retention. Overall, we have accomplished much in 2025, and I want to thank the entire Definitive team for delivering these improvements and advancing our strategy. In 2026, we expect to build upon the progress we made last year. The signs of success, especially in the second half of the year, have reinforced our belief that we have the right strategy in place. As we look ahead to 2026, our key priorities remain unchanged from our 2025 pillars. As noted above, different pillars are in different phases of maturation and delivering success. But as the year unfolds, we will be focused on investing incremental dollars in those areas showing the most promise. Given the success ramp we are seeing, we anticipate there will be opportunity to accelerate digital activation with our customers, extend our partnership and distribution efforts, and we have confidence that our Gen AI enablement of view will provide new and incremental upsell, cross-sell opportunities later this year. Our primary strategic objective remains that of returning the business to consistent revenue growth. Fundamental to that objective is improving retention, and we remain confident that the steps we are taking can and will deliver that outcome over time. While the macro environment remains challenging, we will continue to focus on those areas we can control, and we will be making the investments necessary to steadily improve operational performance. With that, I'd like to turn this over to Casey to discuss our financial results in greater detail. Casey?
Casey Heller: Thank you, Kevin. In all my remarks, I will be discussing our results on a non-GAAP basis, unless otherwise noted. As Kevin mentioned, 2025 was an important year for Definitive that saw tangible improvement on our four strategic pillars and put us in a better position to meet our long-term objectives. I'm pleased by our ability to close 2025 by outperforming on both revenue and adjusted EBITDA, while executing against those core strategic objectives. This reflects the continuation of our disciplined approach to managing the business while we have continued to face top line pressures and a dynamic macro environment. In the fourth quarter, we delivered revenue of $61.5 million, down 1% year-over-year, adjusted EBITDA of $18 million, reflecting a 29% margin and expanding approximately 120 basis points year-over-year and adjusted net income of $8.6 million, resulting in $0.06 of non-GAAP earnings per share in the period, all of which were at or above the high end of our guidance for the quarter. We also delivered $2.5 million of unlevered free cash flow in the quarter and $54.9 million on a trailing 12-month basis. Turning to our results in more detail. Revenue of $61.5 million was above the high end of our guidance range and represents a 1% decline year-over-year. Subscription revenues of $58.5 million declined 3% year-over-year or declined 7%, excluding data partnership contributions and were modestly ahead of our expectations for the quarter. And we did again see modest improvements in our Q4 renewal rates year-over-year, but not to the extent we had hoped. Professional services revenue in the quarter was strong, up 49% year-over-year and outperformed our expectations. This was a combination of delivering on traditional analytics engagements as well as a ramp-up in our digital activations activity. Adjusted gross profit in the fourth quarter was $50.2 million, which was flat from Q4 '24. As a percentage of revenue, the adjusted gross profit margin of 82% expanded about 100 basis points year-over-year, driven by some short-term benefit to our cost structure in the period as we had removed one data source from product, but we're still in the process of onboarding an additional source that will come online in the next month or 2. This temporarily reduced COGS in Q4. Adjusted EBITDA was $18 million and reflects a 29% margin, which, as I mentioned, expanded about 120 basis points versus Q4 of '24 and was above the high end of our guidance, boosted by the revenue beat. Looking quickly at our full year results. Total revenue was $241.5 million, a 4% decline year-over-year. Adjusted EBITDA was $70.4 million, a 29% margin and unlevered free cash flow was $54.9 million. In terms of operating metrics, we saw gross dollar retention improve about 2 points year-over-year, reflecting the initial impact of the actions we've been taking to stabilize the business. At the same time, net dollar retention declined due to the ongoing pressure in our upsell motion. As we discussed throughout the year, the lower upsell opportunities put downward pressure on NDR in 2025. We're confident that the combination of the actions we have taken to restore claims volume and the innovation and products will be releasing in Q2 will provide exciting new upsell and cross-sell opportunities that will positively improve net dollar retention in 2026. Turning to cash flow. Our business continues to generate strong free cash flow due to our high-margin model, upfront billing and low recurring CapEx requirements. Operating cash flows for full year 2025 were $53.8 million, down 8% from the prior year, reflecting the revenue decline but was partially offset by strong working capital performance. And we generated $54.9 million of unlevered free cash flow in 2025. Our conversion rate of adjusted EBITDA to unlevered free cash flow was 78%, which is down about 14 points year-over-year. Adjusting for some onetime CapEx spend that largely occurred in Q1 '25, the conversion rate is 87% over the last 12 months. This cash generation provides flexibility to continue investing in growth as noted by the tick up in capitalized software spend as we restarted our organic innovation engine in 2025. As a result of that, we capitalized about $6 million of software development spend, a $5 million increase over the prior year. At the end of Q4, deferred revenue of $99 million was up 6% year-over-year and total remaining performance obligations declined 18% year-over-year. Current remaining performance obligations of $165 million were flat quarter-over-quarter but declined 12% year-over-year. As mentioned last quarter, we have now wrapped on the initial contributions from our data partnership agreement, which explains the favorable year-over-year cRPO growth that we printed exiting Q3. There are other dynamics impacting cRPO as well. In 2025, we saw a greater percentage of our new logo additions signed 1 year versus multiyear commitments than in prior years. This impacts both RPO as well as cRPO. Let me explain why. If you went back to the end of 2024, there was approximately $100 million of cRPO on our books related to commitments that extended beyond 2025. As we enter 2026, this amount is $85 million. This $15 million difference reflects the lower average duration of our contract portfolio entering the year and is a drag to cRPO growth. Before providing guidance on Q1 and the full year, I'd like to take a moment to frame where we believe the business is as we enter 2026. We made significant progress in 2025 across each of our strategic priorities and are confident we have set a solid foundation for the business to return to growth in the future. However, as Kevin mentioned, based on the timing of when these changes will be implemented, we will not see the full impact of these investments in 2026. This is reflected in our guidance for the year. Now moving to guidance for Q1. We expect total Q1 revenue of $54 million to $56 million, a revenue decrease of 5% to 9% year-over-year compared to Q1 '25. The sequential decline in revenue reflects that the improvement in renewal rates in Q4 only modestly improved year-over-year. As a reminder, a substantial portion of our yearly renewals occur in this time frame. Also keep in mind that there will be a partial period benefit to growth this quarter from the data partnership that began generating revenue during Q1 '25. Taking these factors into account, in Q1, we expect adjusted operating income of $9.5 million to $10.5 million, adjusted EBITDA of $12 million to $13 million or 22% to 23% adjusted EBITDA margin in Q1 and adjusted net income of $4 million to $5 million or approximately $0.03 per diluted share on 143.2 million weighted average shares outstanding. For the full year 2026, we expect revenue of $220 million to $226 million for a 6% to 9% decline year-over-year. For the full year, we expect total revenue dollars to be roughly flat sequentially through the year with a modest uptick in the second half relative to the first half. And we have continued to proactively manage our cost base while making targeted investments in growth areas. From a non-GAAP profitability perspective, the largely fixed nature of our costs mean that most of the revenue decrease will flow through and create negative operating leverage. We expect sales and marketing expense of 32% to 33% of revenue, development expense of 12% to 13% of revenue and G&A expense of 12% to 13% of revenue. We expect development expense to be modestly higher year-over-year as we make targeted investments for growth, while we expect to see sales and marketing as well as G&A expense reduced year-over-year as we drive efficiencies across support functions in each area. Translating that into dollars, in 2026, we expect adjusted operating income of $41.5 million to $46.5 million, adjusted EBITDA of $53 million to $58 million for a full year margin of 24% to 26%. This guide reflects our ongoing commitment to maintaining strong margins while investing in our key growth areas. The decline from 2025 levels is due to a combination of ongoing pressure on revenue and more than 1 point of impact from the onetime expense credits we recognized in the second and third quarter of 2025 that will not repeat this year. Adjusted net income is expected to be between $21 million to $26 million and earnings per share are expected to be $0.14 to $0.17 on 145.4 million weighted average shares outstanding. And while we don't explicitly guide on unlevered free cash flow, it's important to note that we do expect to see adjusted EBITDA to unlevered free cash flow conversion improving by several points in 2026 relative to 2025 given lower planned CapEx spend. As we wrap up, I'd like to reiterate that while we continue to face top line pressures, we remain committed to non-GAAP profitability and maintaining a solid margin profile while balancing investments for a return to growth in the future. We are confident that we have the right strategy and are committed to continuing to make progress against our key initiatives that, over time, we expect will improve customer retention, return Definitive growth and drive long-term shareholder value. And with that, I would like to open it up for questions.
Operator: [Operator Instructions] Our first question today comes from Craig Hettenbach of Morgan Stanley.
Jialin Jin: This is Jay on for Craig Hettenbach. I was just wondering, can you provide a quick update on the demand environment across your 3 end markets? And then any other common themes you can share from the large cohort of renewals from the December and January?
Kevin Coop: Sure. So let me start with the integration strategy and the renewal impact that we're seeing come through our focus on churn improvement. So as we've noted previously, a significant portion of our retention trends were impacted by the industry-wide claims disruption, and we're confident that the actions that we took to remediate the claims data throughout the year will drive improvement in our performance as we move into '26. And as we look at the business from a cohort perspective, the first cohort of renewals, excluding the first quarter of '24 where the disruption occurred was posted this last quarter in Q4. And that performance on a business sold post Q1 '24 basis and up for renewal through 2025 shows about a 200 basis points improvement over the previous comparison quarters, even extending back to '22. So this indicates not only is our strategy focused on -- that is focused on data quality, integrations and improved customer experience that, that's working, we now are very confident that it will continue to build in 2026, and it gives us support for confidence in our plan.
Casey Heller: And the only other component that I would layer on there is that we did see, as I mentioned, improvement in our renewal rates in Q4 year-over-year. They were modest and what we're seeing in January is fully incorporated into our 2026 guide. More broadly on the demand environment, no significant change, but certainly a couple of green shoots that we're continuing to monitor. We started to see sales cycles condense, as I think Kevin mentioned earlier in the prepared remarks. So those are just kind of some of the encouraging signs that I think are pairing a little bit of maybe some benefit in terms of what we're starting to monitor from a macro perspective as well as paired with some of our stronger own sales execution.
Kevin Coop: And then maybe one other data point, which I think would be helpful is we have been focused on integrations as we know that integrated customers will renew at a higher rate than those that are not. I mentioned that in the prepared remarks. And in Q4, we added over 60 integrated customers. And to give you kind of perspective on that, we added 160 for the full year. So we're seeing the integration focus starting to accelerate. Our commercial teams are promoting that because it's good for the customer as well as good for us. And we're very confident that, that performance in the fourth quarter, which often is a more difficult quarter to get moving, was actually very positive, especially in comparison to the full year.
Operator: From Needham, we have Ryan MacDonald.
Matthew Shea: This is Matt Shea on for Ryan. Maybe just to start and then I have a quick follow-up. Would love to just double-click on the last question. Anything you can parse out, I guess, between end markets as you went through the renewal cycle? Any end markets that maybe surprised you, either positive or negative? And then I know in the past, downsells have been more of an issue in the life sciences and pharma end market. So I would love an update on how that end market in particular is doing?
Casey Heller: Yes. Let me give you a little bit of color as far as what we're seeing in terms of the renewal profile across the business. 2025 for us was a year we're really focused on stabilizing the business. And I think that we were able to certainly accomplish that across a number of metrics. So if we look at gross dollar retention, gross dollar retention improved 2 points year-over-year. That actually was largely driven by our enterprise customers, which are strongly weighted towards the life sciences space, just given the size of the customers that we tend to deal with within life sciences. So that's an encouraging component there. But exactly, as you mentioned, as we've continued to talk about, we were seeing a little bit of the flip side of that in terms of net dollar retention, which declined a couple of points year-over-year due to the lesser opportunities around upsell and cross-sell opportunities. I think that as -- where we stand here today entering 2026, we are in a much stronger position. We have remediated the claims data disruption by bringing on a new data source late in '25. We've got an additional data source ready to come online in the next couple of weeks as well to further add to our claims volumes. And Kevin touched on some of the additional new data that we've added into product as well, plus just more broadly restarting our overall product innovation engine. So we've got a lot more tools in the kit essentially as we stand here at the start of 2026 than we did at the start of '25, and that gives us all the confidence in being able to continue to build upon the stabilization in the gross dollar retention and start to build back that net dollar retention improvement into '26.
Matthew Shea: Okay. I appreciate that color. I guess maybe if we think about the inputs to the growth outlook for 2026, I know understanding churn is still a topic. But if I assume customer count declines in, call it, the 6% to 7% range like it did in 2025, to get to the midpoint of the 2026 guidance, I have to then assume year-over-year declines in revenue per customer. And despite the downsell pressure you guys have experienced in the last year or 2, you've been able to consistently grow ARPU through that headwind. So maybe just help us reconcile that. Is there more churn in store for 2026 than 2025? Or is it more so the downsells have finally reached the point where we should start to expect ARPU declines?
Casey Heller: I think that there's an element here of one, over the last couple of years, we've continued to put more focus on our larger enterprise accounts. I think that, that is still very much aligned to our strategy, but there's also an element here when you think about the mix of our business. Diversified and provider are smaller than life sciences accounts. We are actually growing in diversified and provider. Both of those printed growth in Q4. So we've got 60% of the business that has returned to growth, which is really encouraging for us. So I think what you're capturing there is less of a churn issue and more of just a business mix element of the diversified and provider pieces of the business returning to growth and us continuing to pick up and add new customers there that do come in typically at a lower dollar value than some of the larger life sciences clients.
Operator: Next, we'll hear from Brian Peterson of Raymond James.
Brian Peterson: So maybe just starting on AI. I wanted to understand how much of your customer conversations are impacted by AI and what you guys would be able to deliver through your data assets, but also I can see scenarios where AI might be distracting or capturing share of budget maybe away from traditional vendors. I'd love to understand how you're thinking about the net impact of AI so far, at least through 2025.
Kevin Coop: Yes. So I think the helpful aspect of our solution set and the type of use cases that we sell into, it's very health care-specific workflow. These are purpose-built solutions and the data that is collected in a way to be delivered in these purpose-built workflows. And it's around sales and marketing intelligence for contact level targeting and territory design. It's population and conditioning modeling. It needs to address market sizing, medical affairs planning, even key opinion leader mapping related to influence patterns and how that evolves over time or automating risk related to things like legal affairs. So we've got -- the type of use cases that we're solving aren't really optional, right? They're very much around commercial execution, product or strategy. And so that's sort of the base layer. Then you also look at it from which I mentioned in my prepared remarks, which was, look, AI modeling is only as good as the data it can mine. And we know that our differentiated data, which is focused on and founded on our best-in-class reference and affiliation data set gives us a clear advantage. And so the conversations that we're having, it's more around how do we apply and what can we do to apply the -- and harness AI as it relates to the existing use cases and workflow and health care suite workflows, which is why we believe that is a competitive advantage and a tailwind as opposed to a headwind for us today.
Brian Peterson: Got it. Kevin. And I appreciate all the comments on the NDR and the customer dynamics. Are you guys able at this point to say when you think NDR may actually hit a bottom? It's good that you've seen the gross revenue retention improve. Just curious when that KPI should inflect?
Casey Heller: It's fully our expectation that we're able to improve NDR within 2026. So we view 2025 as the bottom. As I mentioned, I think that there's a lot of work that we did in '25 that really positioned us to be starting 2026 on a stronger footing from a product innovation standpoint as well as the work we've done to add additional data, remediate the claims data issue as well as enhance some of the components that we have within our crown jewel, our reference and affiliation data as well.
Kevin Coop: Yes. And I think -- I'm sorry, I was going to add on, if it's okay, maybe the contextual expertise and why we see the tailwind with AI, especially as it relates to that, is as we're bringing the Gen AI layer to what is already a highly effective front-end platform, that's going to allow us to -- it sort of democratizes the use today where while the platforms are very powerful, they do require a certain level of expertise and super users to access. And so with what we're doing this quarter, that's going to allow more users to have more access to unlock more value. And the fact that we are value-based pricing anyway, not seat-based, unlocking more value is going to be really helpful, especially as we focus on net dollar retention in addition to gross dollar retention because that will unlock more cross-sell, upsell and value unlock as we delight our customers with more value from the products and the platforms that we already have.
Operator: Our next question comes from Jared Haase of William Blair.
Jared Haase: Maybe I'll follow up on that point related to the NDR. And I appreciate all the underlying drivers that give you confidence that 2025 can mark the bottom here. I guess I just wanted to contextualize because obviously, we've been thinking a lot about some of the product development and innovation initiatives to help drive that. But just to put a fine point on it, I'm curious if you guys are planning any refinement in your go-to-market, specifically targeted towards the sales motion to drive better upsells as well in addition to the product innovation.
Kevin Coop: Yes. So we've got really -- I would think about it in terms of 5 sort of prongs in that area. You've got the confidence coming from several key points. Number one, we continue to have extremely valuable differentiated data that improves our customers' business performance. The second thing that we've got is we are investing to develop purpose-built solutions on top of our purposeful solutions with AI, which will make it easier for the customers to actually value and create value from our data. The third, we have already completed our go-to-market and customer success integration, which allows us to impact the business positively with higher win rates, shorter sales cycles and with a consolidated commercial organization, we're seeing greater alignment, which is showing up in things like radically improved implementation timelines that has already decreased by over 25% year-to-date. And with the extending our AI investments in the product, the data and end user development within our 2026 product road map, which is already in there inside the financials, as Casey has already taken you through, that accelerated investment is going to start to produce real tangible outcomes as we bring these innovations to market starting later this quarter. And finally, we talked about this about a year ago or so, a little bit more than a year ago on our integration strategy, which we know is having a positive impact. You can see, I mentioned we had 60 integrations as opposed to 160 for the full year. And when we look at the retention rates from integrated customers, it's only going up. And we can talk a little bit more about the expansion of the integrations, but I don't think we should underestimate the value that we have as being an agnostic platform where we are able to integrate with the customer systems of insight and systems of record regardless of what those are, and often, they use multiple ways because that's how we start to see the stickiness come in. So whether they're integrating it through lake-to-lake, whether they need direct API integration or whether they're still accessing and oftentimes they do directly through our state-of-the-art soon-to-be AI-enabled workflow products.
Jared Haase: Got you. Okay. That's helpful. And then I guess as my follow-up, so you mentioned the fall expansion pack and some of the big updates. You brought on the new claims data source in the fourth quarter as well. When you have big product refreshes or updates like that, I'm just curious how quickly you're able to communicate those upgraded features to the market. I'm wondering how much that factored into the year-end renewal discussions in the December, January time frame. And I guess the specific point around this is I'm trying to think about how much of that is sort of more incremental tailwind in 2026 selling discussions.
Casey Heller: That's an excellent question. So given the timing of the fall expansion pack, that really came in at the start of Q4. And most of our customers have already kind of made most of the renewal decisions largely like 90 days out. So I actually don't think that we're seeing the impact from that -- the benefit from that showing up in the Q4 renewals just yet. I think we're going to learn about the extent that, that's going to boost renewals a lot more here in Q1 and Q2. So I think it's how that relates in terms of the guidance we've put together and put out is I think the guidance assumes some modest improvement in renewal rates, but I think that there certainly is still opportunity that we'll continue to monitor based on how quickly we see additional uplift and the impact on renewals. But it's not just the renewals. It's also now we've got -- we did a really good job historically of selling claims as an upsell motion and the cross-sell motion into our customers historically. We didn't really do that last year because we needed to address the data disruption. Now that that's been addressed, that opens up that avenue for us as well. So that will certainly be a boost to us in '26. There's a component of it baked into our '26 guide and we're continuing to kind of monitor results for more potential upside, and we'll talk about that more as the year goes on.
Operator: [Operator Instructions] Next up, we have George Hill of Deutsche Bank.
George Hill: I've just got two quick ones. Casey, you talked about the NDR improving or bottoming, I guess, in '26. I guess I don't know if you're willing to talk about like order of magnitude as you think about the recovery, like if we're modeling that going forward, kind of what does that look like? And Kevin, on the claims data, are you able to talk about like what amount of enterprise revenue does the claims data product -- to what amount of revenue does claims data underpin like various product revenue? And is the disruption there enough to consider that product significantly impaired? Or is there a resell process around that, like a reintroduction process as it relates to the claims data product? Are you able to just kind of go back to market with the patches that you guys have made? I understand that's the clumsy question. I apologize.
Kevin Coop: Well, no, I mean, I get what you're -- the intent of the question is. So maybe what I'll do is I'll start with sort of the philosophical and the rationale and then maybe Casey can kind of quantify it to the question on both NDR as well as how do you size that. So the claims data, it's more -- it's really just a very simple issue that we faced. And it depends on the customer because it wasn't universally spread evenly across the country. So when you have, say, 30% of records that suddenly evaporate from the market and if you've entitled your customers to expect a certain number of records and now there's 30% less. Regardless of the reason, there's going to be pressure on rightsizing and downsell pressure when you renew or they want to be made right. And so remediating the claims data was twofold. One, we needed to get the actual counts back up to historical or better than historical averages, which is where we are now or above historical averages. At the same time, it gave us the opportunity to increase the quality because the one thing that I definitely -- and this relates to all of our data and all of our products. The single biggest reason and the #1 factor that our customers report why they select Definitive is because they rely on us for accuracy, and quality. Our data needs to be as pristine and accurate as possible. So it's not just -- it wasn't a simple answer. So now that you've gotten claims data that's been cross-sold very effectively in earlier years, that now creates a dissatisfaction even if the revenue component was less, it starts to impair other companies that may or other customers that may have acquired that as well. So remediating the volume and the quality at the same time was very important, and we are claiming job complete on that, and we feel very good about it. And I think it's starting to show up in the green shoots in the records going forward. As far as the question on how that impacts NDR and how you would size that, Casey, I don't know if you want to.
Casey Heller: Yes. I think as far as what's assumed in our guide around NDR is a modest improvement, a couple of points. I think that, again, there'll be more that we'll monitor as we go through the year to be able to show if we're on track for that or if we've got the opportunity to do better. But we're confident in being able to deliver a couple of points of improvement on an NDR basis for '26.
Operator: Next, we have Jeff Garro of Stephens Inc.
Jeffrey Garro: I want to ask about renewals and sales activity in the life science end market. And you mentioned positive activity in December year-over-year, but I want to specifically combine that with the idea that we've heard from others, maybe some life science companies were distracted around December as they negotiated most favored nation pricing agreements with the administration. So curious to the extent you saw that and what you could tell us about pipeline development here in the first 50 days or so of 2026 as we get past that year-end 2025 period and start to look forward a little bit more as we've heard there's more budget certainty for these large pharma companies.
Casey Heller: Yes. So let me start here around some of the dynamics we've seen in the life sciences space. Again, I don't think there's been a ton of change from the elements that we talked about all year. In Q4, there still was pressure around lack of upsell activity. But we talked about gross dollar retention improving about 200 bps at a total company level. That's a pretty consistent level within Life Sciences as well. So that stabilization and that improvement there, I think, is really important and it's something that we've been very focused on really kind of stabilizing that component of the business. As I mentioned earlier, when we got diversified and provider back to growth, now it's what's it take and what's that curve and really that the slope of that curve look like around life sciences. And that's what we're really focused around kind of executing against while continuing to nurture the growth that we're seeing within diversified in the provider space. But I can't say there's really been too significant of changes. I think we still are very highly engaged. We've got a lot of our relationships in the life sciences space are very long-standing. In fact, if you look at our logo churn rates, our logo -- sorry, our logo retention rates are extremely high in the life sciences space. And that's just an area that I think has been quite consistent for us for a long time. These are customers that have been with us for a long period of time. They value high-quality data. And we really just had these downsell pressures throughout '24 and '25 as a result of claims data disruption. And we feel really good about where we are today and being able to build back the revenue within these accounts over time. And that for us is really just a key component there of what is the slope of the life sciences recovery look like. And from a guidance perspective, we're being pretty prudent on the assumptions within the Life Sciences space until we get a couple of more green shoots under our belt.
Jeffrey Garro: Great. I appreciate that. And one more quick one for me. Just the discussion of a return to organic innovation spend. I wanted to see if there's anything you can add more around the focus areas there and around the timing of product releases and eventual return on that investment. You mentioned one release later this quarter. So maybe help us just a little bit more with the cadence of other releases from there.
Kevin Coop: Yes. As we're looking at our kind of compute capacity management and how we're deploying our resources, we're balancing the internal deployment of resources by focusing our engineering or problem-solving teams primarily and our AI-enabled product road map. And we're doing so with -- if I was going to give you the guidance on there, I would think of it in terms of Q2 is when we're really focusing on getting this into a more of a GA cycle, even though we are launching certain beta programs currently in this quarter, but I would look at it from a Q2 perspective.
Operator: We have no further questions at this time. That concludes our meeting today. Thanks, everyone, for joining.